Operator: Welcome to the Crane Company Third Quarter 2025 Earnings Conference Call. [Operator Instructions] I would now like to turn the call over to Allison Poliniak, Vice President of Investor Relations.
Allison Ann Poliniak-Cusic: Thank you, operator, and good day, everyone. Welcome to our third quarter 2025 earnings release conference call. I'm Allison Poliniak, Vice President of Investor Relations. On our call this morning, we have Max Mitchell, our Chairman, President and Chief Executive Officer; Alex Alcala, Executive Vice President and Chief Operating Officer; and Rich Maue, our Executive Vice President and Chief Financial Officer; along with Jason Feldman, Senior Vice President, Treasury, Tax and Investor Relations, who is on for Q&A. We will start off our call with a few prepared remarks from Max, Alex and Rich, after which, we will respond to your questions. Just a reminder, the comments we make on this call will include some forward-looking statements. We refer you towards the cautionary language at the bottom of our earnings release and also in our annual report, 10-K and subsequent filings pertaining to forward-looking statements. Also during the call, we will be using some non-GAAP numbers, which are reconciled to the comparable GAAP numbers in tables at the end of our press release and accompanying slide presentation, both of which are available on our website at www.craneco.com in the Investor Relations section. Now let me turn the call over to Max.
Max Mitchell: Thank you, Allison, and thanks, everyone, for joining the call today. We are proud to report another strong quarter with results coming in ahead of our expectations. Adjusted EPS was $1.64, driven by an impressive 5.6% core sales growth, primarily reflecting broad-based strength at Aerospace & Electronics and continued strong execution at Process Flow Technologies. This quarter's results yet again underscore our differentiated technologies and operational discipline. In addition to our continued long-term investments in new technology and solutions, the Crane Business System, the machine that we described in great detail at our March Investor Day, combined with our unique culture, enables our teams to adapt to the many unforeseen events that we're all facing every day and deliver on the results. Our pending acquisition of Precision Sensors & Instrumentation from Baker Hughes remains on track to close at year-end, and our strategic outlook for these businesses has only improved over the last 3 months. Many work streams are already well underway to ensure a seamless integration and create shareholder value starting day 1. Our balance sheet remains very strong. Our pipeline of acquisitions remains robust, and we remain very active on the M&A front. And there's a tremendous amount of momentum and continued innovation happening at Crane that Alex will cover off. As we exit 2025, we are once again raising, but also narrowing our full year adjusted earnings outlook to a range of $5.75 to $5.95 from our prior view of $5.50 to $5.80, given our backlog, consistent execution and year-to-date performance. That reflects 20% adjusted EPS growth at the midpoint compared to 2024. Another outstanding year for Crane and our shareholders. And as we look to 2026, our consistent investment thesis remains firm. The strength of our underlying business, our strategy and our capabilities, in both operational execution and commercial excellence, support our 4% to 6% organic growth assumptions, leveraging on average of 35% into next year. We will provide greater detail on 2026 expectations as well as PSI in early January, once we officially close on the acquisition. Now let me pass it over to our Chief Operating Officer, Mr. Alex Alcala to provide some color on the current environment and segment performance.
Alejandro Alcala: Thanks, Max. First, let me comment on the pending acquisition of PSI. As Max said, the acquisition remains on track to close January 1, and the integration planning is well underway and progressing smoothly with the existing Baker Hughes and Crane teams. As you would expect, my team and I, as well as the PSI leadership have been intimate with all closing details and integration planning to accelerate strategic execution in 2026. As we discussed last quarter, each brand will contribute a robust and complementary technology, further strengthening the Crane portfolio. Combined with the power of the Crane Business System, PSI will be accretive to our financial profile, both margins and growth, within the next few years, and our confidence in what we'll deliver has only increased as we work closely with the PSI team on a daily basis planning for day 1. In terms of further M&A, our funnel of opportunities remains full. The deals we are working on today include opportunities in both Aerospace & Electronics as well as Process Flow Technologies. And most range in deal-size purchase price from $100 million to $500 million. Now some thoughts on the segments in the quarter. Starting with Aerospace & Electronics. Aerospace and defense markets remain very strong. The backlog we built and new programs and opportunities our teams have won provide a strong visibility into 2026 and beyond. On the commercial side of the business, activity remains healthy with Boeing and Airbus continuing to ramp up production and aftermarket activity continued at elevated levels. On the defense side, we continue to see solid procurement spending and a continued focus on reinforcing the broader defense industrial base, given heightened global uncertainty today. Looking ahead to the balance of 2025, we now anticipate core sales growth for the year to be up low double digits compared to our prior view for core growth to be up single digits to low double digits. And that growth will be leveraged at 35% to 40% for the full year. Our guidance assumes growing year-over-year OE sales, partially offset by decelerating year-over-year growth rates in commercial aftermarket in Q4 that we previously highlighted. Overall, a really outstanding year. We also continue to win new business and pursue new opportunities across the segment. That gives us confidence that we will continue to see above-market growth for the remainder of this decade. Let me highlight a few examples. First, Crane continues to win funded next-generation military demonstrator programs for our brake control systems for both fixed and rotary wing platforms. Second, we continue to advance our vehicle electrification solutions. Heightened by the launch of our new 200-kilowatt traction motor inverter generator controller product at the Association of the United States Army or AUSA trade show in October. We remain actively engaged with defense vehicle OEMs regarding collaboration on the Common Tactical Truck and new combat vehicle programs. Related to this, I would comment that over the past 2 years, customer vehicle development efforts were fragmented with numerous concepts in play and uncertainty around government funding. This year at AUSA, however, the landscape was noticeably different. The focus was clear, industry attention is now centered on competing for the XM30 and the CTT. This shift aligns precisely with the strategic direction we've defined for our defense power business. With government funding priorities now well established, vehicle primes are concentrating their efforts almost exclusively on winning these programs. Very exciting for us. And last, activity around air defense systems remains very robust. Golden Dome is still being defined by the DoD. However, we strongly believe we will benefit directly through existing positions held today on systems like LTAMDS radar system and Patriot missile programs, among others that will certainly be part of Golden Dome solution, let alone pure increased demand drivers. We also anticipate additional growth from new emerging opportunities that our technology is well suited for. Specifically in the scaling and upgrades of radar, counter unmanned aerial systems, high-power energy and space-based assets for Golden Dome. With a record backlog and pipeline of opportunities, Aerospace & Electronics remains poised to well outperform its markets over the next decade. Very proud of our team. Our Process Flow Technologies, similar to Q2, end markets are stable, and we remain well positioned to outgrow across the cycle. We continue to see strength in segments such as wastewater, pharmaceuticals, cryogenics and also power, while chemical markets remained soft, yet stable. As a reminder, we have systematically repositioned our portfolio over the past decade around our core end markets where we have the strongest competitive position and the most differentiation, enabling sustainable market outgrowth. Tactically, we have proven our ability to react to any changes in demand quickly, and we will remain nimble, taking any necessary and appropriate price and productivity measures required. Our focus and discipline enabled us to continue to win in this segment despite the slower growth environment, and that was reflected in Q3. For example, our municipal wastewater pump business is on track for double-digit growth driven by strong momentum in new product adoption. At WEFTEC this year, we introduced the high efficiency SyFlo wastewater pump, featuring advanced non-clog and [ pellet ] technology with leading efficiency metrics. Shipments began in Q3. And as we head into 2026, a robust sales funnel gives us confidence in delivering another year of strong growth for this business. Also, our cryogenic business continues to execute commercially with a number of orders across aerospace and defense, space launch, satellite production and semiconductor investments. Overall, we secured double-digit growth in new orders in the quarter within cryogenics, reflective of our front-end engineering support and manufacturing capability as a differentiator in the market. Additionally, we won a [ 6 million ] large pharmaceutical orders supporting capacity expansion to manufacture GLP-1 drugs. Our ability to deliver high-performance solutions for critical pharmaceutical application continues to differentiate us in a competitive market and positions us well for future growth in this space. And lastly, despite the headwinds facing the chemical industry, our teams continue to secure targeted opportunities largely tied to preventative maintenance and technology upgrades. Looking ahead to the balance of 2025, given our line of sight today, we maintain our view for core growth to fall at the lower end of our low to mid-single-digit growth range that we guided to last quarter, but with greater margin expansion as core volumes will leverage at the higher end of our targeted range for the full year despite tariff headwinds. Overall, both our businesses remain well positioned to continue to deliver outstanding results into 2026. Now let me turn the call over to our CFO, Mr. Rich Maue for more specifics on the quarter.
Richard Maue: Thank you, Alex, and good morning, everyone. As we were getting ready for our Q3 earnings release this past month, and as I reflected on the consistency of our execution and overall results, generally, a movie quote came top of mind that one of our investors mentioned at a recent sell-side conference in describing our consistency. One of my favorite actors, Ryan Reynolds, had this moving quote while portraying AAA-rated executive protection agent, Michael Bryce, in a romantic and touching comedy, the Hitman's Bodyguard, when describing his job. Boring is always best. I have heard from many of you and appreciate all the movie quote suggestions that you have all sent over the last year. So feel free to send me your best thoughts on lines in the future that tie to Crane in your view. And anyone suggesting a quote that we actually use on our call will receive a free Crane coffee mug autographed by me. In all seriousness, while the environment is certainly not boring, our story remains unchanged and our teams continue to execute to win, driving results above expectations in the most consistent and boring manner possible despite the well-documented headwinds we are all facing every day. And with that, let me start off with total company results. We drove 5.6% core sales growth in the quarter, driven primarily by the ongoing strength within Aerospace & Electronics. Adjusted operating profit increased 19%, driven by continued strong net price of -- net price and solid productivity. In the quarter, core FX-neutral backlog was up 16% compared to last year, reflecting continued strength at Aerospace & Electronics and core FX-neutral orders were up 2%. From a balance sheet perspective, while we are in a net positive cash position, at the end of the quarter, we completed financing with our bank partners for our pending acquisition of PSI. We entered into a credit agreement that included a $900 million delayed draw term loan and a $900 million revolving credit facility, both maturing on September 30, 2030. We expect to finance PSI primarily with the proceeds of the term loan and cash on hand, leaving the $900 million revolving credit facility available for further M&A and normal working capital management. And consistent with our prior commentary, after the PSI transaction, our net leverage will be just over 1x, still well below our 2x to 3x targeted range, leaving us well positioned for further M&A. With respect to tariffs, we continue to expect the gross cost increase to be roughly $30 million for the year, inclusive of the impact of the Section 232 tariffs, so no change there. And as we said last quarter, we expect to offset tariff impacts through price and productivity and our teams are prepared to react appropriately to any further changes that may occur in this dynamic area. A few more details on the segments in the quarter. Starting with Aerospace & Electronics, sales of $270 million increased 13% in the quarter, nearly all of that organic growth. And even with the continued high level of core sales growth, our record backlog of just over $1 billion, up 27% year-over-year, was up slightly sequentially. Core orders were up 5%, in line with our expectations as some orders that we anticipated later in the year were received in the first half. Again, no surprises and continued strong demand broadly. Total aftermarket sales increased 20% with commercial aftermarket up 23% and military aftermarket up 12%. And OEM sales increased 10% in the quarter with both commercial and military up 10%. Adjusted segment margin of 25.1% expanded 160 basis points from 23.5% last year, primarily reflecting strong net price, solid productivity and the impact from the higher volumes. We expect operating margin to be modestly lower in Q4 due to typical seasonality and less favorable mix between commercial OE and aftermarket. At Process Flow Technologies. In Q3, we delivered sales of $319 million, up 3% with flat core performance in the quarter, along with a 1.6% benefit from the Technifab acquisition and 1.5 points of favorable foreign exchange. Compared to the prior year, core FX-neutral backlog decreased 5% and core FX-neutral orders were down slightly as expected. Adjusted operating margin of 22.4% expanded again and in the quarter was 60 basis points higher than last year, driven by strong productivity, mix and net price inclusive of tariff headwinds in the quarter. Moving to guidance. There were a couple of nonoperational changes below the segments. We now expect corporate expense of $85 million, modestly above our prior view of $80 million during -- due primarily to M&A activity. We also now anticipate net nonoperating income to be closer to $7 million, up from $4 million due to higher investment income on our cash balances. And a quick reminder that this nonoperating income also includes about $9 million of business interruption insurance recovery recorded in other income expense related to Hurricane Helene, around $6.7 million of which has been recognized year-to-date and with $2.7 million in the quarter. And last, our tax rate for the full year will be slightly lower with us now estimating a 23% tax rate for the full year versus our prior estimate of 23.5%. Those three nonoperational items net to a very slight benefit of about $0.01 with the other $0.19 of the guidance increase at the midpoint coming from the segments. Operationally, we didn't change the full year core growth guidance range of 4% to 6%, but we now expect to be in the upper half of that range given the strength at Aerospace & Electronics, and that growth should leverage at our normal rates on a full year basis. So given our excellent results to date and our current view on Q4, we are raising adjusted EPS guidance by $0.20 at the midpoint and narrowing the range to be within $5.75 to $5.95, again, reflecting 20% growth year-over-year at the midpoint. Overall, another outstanding quarter, another outstanding year against a very dynamic macro backdrop. And with that, operator, we are now ready to take our first question.
Operator: [Operator Instructions] Our first question is coming from Matt Summerville with D.A. Davidson.
Matt Summerville: A couple of questions. First on PFT. Can you talk about -- if the expectation is that the business is up organically low single digits for the year, if you look at the nonchemical portion of PFT, how does that look relative to that low single-digit number? And then on the chemical side, what specifically you expect out of that end market this year? And maybe how you're thinking about that exposure, which is fairly large for the segment through, say, an 80-20 type of overlay? And then I have a follow-up.
Alejandro Alcala: Yes, Matt, thank you. This is Alex. So just to frame up the markets and what we're seeing in responding to your question, I think regionally is different then by market is different. As a reminder, we're in PFT, primarily almost half or a little bit over half on Americas-based business, which is a positive in this environment. So first, speaking to the nonchemical markets, wastewater, for example, North America based, we're seeing double-digit growth in that business, driven by just investment in the aging infrastructure and environmental. So that's been strong. We expect that to continue to be strong going into next year. Cryogenics through our new acquisitions in various applications, semiconductors, electronics and space launch I mentioned last quarter, just driven by that commercial aerospace market of launch, and we participate in the platforms and the build-out of platforms, that's been growing also double digits, and we're gaining significant share as well. Just recently visited with the team there, and they were highlighting their commercial excellence in the front end where they have a tablet now on their own site, they're able to sketch the project, convert it into a drawing with this application, send it into the front end and really reduce the lead time, which is important to our customers. So doing very well. Also highlight pharma, in particular, in North America, strong growth there this year. We are seeing this reshoring activity happening in North America. We expect that to continue in the U.S. A big project that we won with a key customer related to the deal GLP-1 drug as they're expanding and producing in the U.S. We expect more of those investments to happen. And also in power, very North American-based, driven just by the demand in power that everybody knows about, AI, data centers. So those are all the nonchemical markets that I will highlight, that are positive, and we continue to see positive going into next year. When we think about chemical, also varying by region. So North America, we've seen some good projects this year, good activity on expansions, productivity. As a reminder, in -- Americas has the advantage of this feedstock and cost advantage. So even though there's capacity globally, customers have advantage to investing in the U.S. and expanding and getting more output. So that's moving in a positive way. And also Middle East, those are the two markets that I would highlight in chemical that have been positive and then softer Europe and China as well have been down. As far as our exposure in chemical, how we think about it, to answer your question -- your second part of your question. Look, the chemical market, there's a lot of things that we like in the applications that we play, very critical, corrosive, toxic, abrasive applications that give us an opportunity to differentiate, add value for our customers. And so we like that. Obviously, the cyclicality of the market sometimes is a challenge. So as you know, over the last decade, we've worked to reshape the portfolio, investing in cryogenics, organically, inorganically, wastewater and we'll continue to do so. Highlighting our recent PSI acquisition as well in the markets where they play, in nuclear, in aerospace, differentiated technology, also wastewater. So we'll continue to invest in these higher-growth markets, but maintain our current presence in chemical and keep building on that. And overall, we'll continue to shape that [ underlying ] growth in our PFT segment.
Matt Summerville: And then just another one on PFT, the margin upside you saw in the quarter, can you maybe help parse out what the key drivers of that upside may have been, whether it be price, cost, mix or just cost out and then how we should be thinking about those various levers at a high level as we think about next year?
Alejandro Alcala: Yes. So as we think about PFT, the journey we've been on, right, for the last decade, growing and delivering more than 100 basis points, or close to 100 basis points on average, really is driven by several factors. One is our continued innovation, new product launches that we've highlighted in the past, our new product sales keeps growing as a percent of our portfolio. The new products are in these target markets more differentiated and we're able to have higher margin because of that. And then we're driving commercial excellence, value pricing, standing up for the technology and the problems we're solving for our customers. And third, this traditional relentless focus on operational excellence and waste elimination, which is core. So I think I would highlight those three elements. I think what's different in this environment is this tariff dynamic, which I've been very, very pleased with how the teams have been able to manage that through both price and supply chain, which I think is a real differentiator for us to be able to do that and not only maintain, but expand our margins even in this environment, just speaks to the quality of our portfolio and the quality of execution from our teams.
Operator: Our next question comes from Justin Ages with CJS Securities.
Justin Ages: I was hoping -- you mentioned in PFT some softness in chemicals. But just wondering if you could comment, maybe you're seeing signs of ongoing stabilization or maybe return to growth? Just trying to get a sense of when that might rebound?
Alejandro Alcala: Yes. So we're definitely seeing it stable, right, throughout the year. In the first half, we hit some big projects, projects continue to move more so in Middle East and North America. MRO globally has been stable throughout the year. So that's been a big part of our success. So definitely no signs of deterioration, stability. And it's just a matter of when this will start recovering at some point, we expect next year for chemical. But no clear inflection yet, but stable and expected to improve next year.
Max Mitchell: Justin, as I think about what's taking place globally, and we've and everyone else has had to react to changes in the tariff structure and other news that happens on a daily basis. But again, I'm pleased with how we continue to stay very agile to react as appropriate. I'm one that -- I mean, within our control -- I'm incredibly proud of what we continue to drive within our control. If I look at the broader market, I'm more on the bullish end just generally because I believe that while there's a lot of noise right now that we're all having to deal with, I believe that this will be settling out here towards the end of the year into next. Just my own reading of the tea leaves and the administration's approach, and I'm more optimistic and planning around it for our teams in terms of what that means. It's still early days. We have our plan meetings coming up here in the month of November to really kind of lock in what it means for 2026. But I'm more optimistic of where all this shakes out and then what that means for the broader global economy. For what that's worth, my opinion is not worth anything more than anyone else's.
Justin Ages: Yes. It's worth a lot. I appreciate the answers. And then switching to the PSI, just back of the envelope, the margins a little bit under Crane. So can you just talk about applying the Crane Business System or the machine to PSI and what you're expecting to see in margin improvements once you've integrated them?
Alejandro Alcala: Yes, Justin, this is Alex. So we haven't closed the business yet -- we haven't closed the deal. We expect that on January 1. So we'll provide more details after. But generally speaking, these businesses have incredible technology, very stable aftermarket. We expect these businesses to become one of our best businesses within Crane from a margin and growth standpoint in our portfolio. And the improvements that we'll drive are not different than what we've been able to do, particularly on the PFT side through driving overall CBS. So these will become accretive to our profile over the years. They have all the fundamentals, and I'll speak into more detail of how the different elements will play out or how we see them play out with the coming year. But I can tell you, I'm very, very confident that we will deliver with this acquisition. Very pleased with everything I'm seeing and our preparation to execute.
Operator: We will move next with Damian Karas with UBS.
Damian Karas: Congrats on the progress. So I wanted to ask you a follow-up question related to margins and in particular, your guidance for the year, it seems like it's -- baking in a step down in fourth quarter margins, definitely a notable break from the strength you've been exhibiting so far the first 3 quarters of the year. And I think even on a year-over-year basis, the incremental margin is definitely well below kind of the 35% to 40% plus you guys aspire to. So could you just maybe provide a little bit more color around that margin expectation for the fourth quarter? Any moving pieces there?
Richard Maue: Yes, sure. Damian, this is Rich. The primary area would be similar to what we talked about the last couple of quarters with respect to the year-over-year headwinds that we're going to see in commercial aftermarket. Now I would admittedly say that we actually had a little bit of a better quarter here in Q3, and so we didn't see as much of that headwind. We do expect that in the fourth quarter. A couple of items that I would point to is that we did see a few initial provisioning orders that we benefited from in Q3. We saw a decent claim recovery. So we did see a few things that did benefit us here in the quarter. And then what I would also say is two other things. One, we're continuing to see the OE build rates continue. And so that's a natural mix, unfavorable mix element, although we are excited about it. And then the second item would be when you look at the fourth quarter, we tend to have lower production hours. So there's a little bit of seasonality in what we would typically exhibit in the fourth quarter at A&E. Now all that said, I would tell you that on a full year basis, we're going to probably be at the higher end of our targeted leverage range for A&E and will exceed at PFT. So yes, we had a great 9 months. We still expect a great fourth quarter, but it will be a little bit more muted for those reasons.
Damian Karas: Understood. That's really helpful. And sorry if I missed any comments related to this earlier, kind of hopping around a bunch of calls today, but would you guys give us your thoughts on the U.S. government shutdown? Are you seeing or expecting any impact from that? And just kind of thinking about that, should this continue into the extended future?
Richard Maue: Yes. I mean, right now, we don't -- it's not impacting us today. So the things that we would look to are paying bills and things like that, and we've got no signals of that at all. So far, so good in terms of any impacts to Crane. And at this point, there's nothing on the horizon that would suggest any impact to us here even as we get into the first quarter.
Operator: Our next question comes from Scott Deuschle with Deutsche Bank.
Scott Deuschle: Alex, you mentioned power and data center demand as being a supportive market for PFT in response to Matt's question, I think. I guess, can you share a bit more detail there on what you're seeing in that market and how it's benefiting Crane?
Alejandro Alcala: Yes. For sure. So power, primarily U.S.-based for us, less than 10% really our portfolio in PFT. We've been in this business for a very long, long time with our valve portfolio primarily. And what we're seeing is these power demand that is well documented and the investment in combined cycle -- natural gas combined cycle plant around the country. I think just this year, there's more than close to 30 power plants that are moving forward. So we see content there. Natural combined cycle plants are still a very economic ways to produce electricity, very reliable. And as you know, abundance of natural gas in the United States. So that is our participation there with our valve portfolio, and we expect that to continue into next year.
Max Mitchell: Funnel has been increasing, projects are up.
Alejandro Alcala: Funnel has been increasing. I think they can't build them fast enough basically on the natural gas side.
Scott Deuschle: And do you have any content on smaller reciprocating engines like those that Caterpillar makes?
Alejandro Alcala: No. No, we don't have content in that.
Scott Deuschle: Okay. And then, Max, are you investing organically at PFT to increase your shipset content on AP1000? Obviously, some big news out this morning. So I was curious if that can maybe be a bigger driver for you all than your historical content suggested?
Max Mitchell: Yes. Thanks, Scott. Well, you could argue that Reuter-Stokes long term is absolutely aimed at gaining content on the AP1000. We -- the team is already underway with technology investments to penetrate the pressurized water reactor in addition to boiling water. So long term, absolutely, as we continue -- the current team is doing a phenomenal job and has done as we have when we first won AP1000 content many, many years ago to the tune of about $10 million per shipset. We're identifying another 30% increase in content right now that we're bidding on capturing additional share gain also. So both organically as well as inorganically as we move forward for sure. And there was an exciting announcement today -- exciting announcement that I think in addition to just the announcement today related to the $80 billion investment that the government announced in support, I think you're just seeing this change over time that will continue this trend of nuclear as part of a broader global solution to clean and efficient power that will continue to bode well for us and our position also.
Operator: Our next question comes from Nathan Jones with Stifel.
Nathan Jones: I'm finding it a bit hard to concentrate with the promise of a signed Rich Maue Crane coffee mug, I guess. I guess, just another question on the PSI businesses. Max, you -- one of the comments you made was that you, from a strategic perspective, are more bullish on that business than you were 3 months ago. Maybe you could just talk a little bit more about what you've learned in the last 3 months that makes you strategically more positive on the outlook for that business?
Max Mitchell: Well, I'll let Alex chime in as well. But it starts with the team itself. And I think we just continue to be impressed with the caliber of the talent that's going to be joining Crane. I just love the openness and transparency that we've been met with to date. So that feels really good in terms of integration, integration planning, working well together. It's what I know is taking place already. This is not a team that has stood still. They've been investing for growth, and we're going to get -- quickly get aligned strategically as we're moving forward. It just all feels very, very positive from that standpoint. Sharing of data, kind of getting clarity strategically on what we're going to be working on together from day 1. It's been a fantastic relationship. What else would you highlight, Alex?
Alejandro Alcala: Yes. I think over these months, Nathan, just getting more clarity on the specifics of how we're going to collaborate and work together, the detailed plans and the opportunities, just having a very clear line of sight to the gains, starting with the aerospace in Druck, in the nuclear, also with Panametrics, and just a level of detail that we've been able to get and the plans of what we're going to prioritize, and we're going to -- where we're going to be able to have quick gains gives us these higher confidence where we were 3 months ago. So it just keeps increasing as those plans get more defined and more details get clarified.
Nathan Jones: And I guess I'll just ask a broader question about 2026. You guys have always been pretty willing to share your outlook. So I mean, are -- you're obviously going to get towards the top end of the growth, 4% to 6% growth target this year. We have seen organic growth slow down a bit as we've gone through the year. Maybe you could just talk about, do you think we're in the 4% to 6% range next year? Maybe it will be a little more towards the middle of next year? Or just any thoughts you have on how the growth outlook might shake out for next year?
Max Mitchell: Well, it's still early days. We've got our plan meetings coming up. There's a lot to monitor here in the fourth quarter. Having said all that, based on what I know today, based on what we feel today based on thinking through the end markets and how that will continue to play out, it still feels like our investment thesis holds into next year, Nathan, from that standpoint.
Nathan Jones: Okay. I guess we'll wait for the 4Q update.
Operator: Our next question comes from Jordan Lyonnais with Bank of America.
Jordan Lyonnais: On defense and aero, how should we think about the opportunity for you guys if we start to see announcements for F/A-XX CCA downselection and some of the larger Group 4, 5 drones have been kind of previewed?
Alejandro Alcala: Yes, Jordan, this is Alex. On the F-XX or the -- just the NGAD platforms, we are very well positioned on all the demonstrators really. So we've been successful in having multiple horses in the race. So we're going to see strong benefit from that. On the CCA activity, I think we've mentioned we've already secured a position with one of the leading emerging players in that space with CCA, which is going to start ramping up here in the years to come. And then in general, in drones, right, we're actively involved overall. I think, as you know, there's a wide range of drones that exist from the small battery-powered [ hand-launched ], those that are called like Switchblade or Phoenix, and we do not participate in that small. Where we do play is on the medium or larger drones that are part of that CCA, like those that you see called out like Fury, Global Hawk, Predator. So we're well positioned there with various solutions, and we expect to benefit that as that market continues to grow.
Jordan Lyonnais: Got it. And then two on -- so how strong demand has been book-to-bill in Aerospace & Electronics, how are you guys thinking about the current capacity you have in place to meet that demand?
Alejandro Alcala: As far as capacity, we're -- we've been -- we're well prepared to meet the demand and the ramp-up rates of the OEMs, both Airbus and Boeing. I think teams have done a really nice job preparing for that, even taking advantage of preparing inventory buffers to execute at a very high level to support those ramp rates. So quite confident in our ability to support.
Operator: Our next question comes from Tony Bancroft with Gabelli Funds.
George Bancroft: Congratulations on the great quarter and all your great work. I recently toured a new facility and was pretty overwhelmed by the amount of automation that was going into it. And I just want to get your view on sort of automation and you've talked a lot about -- it looks like you have a lot of backlog growing and I mean, on the commercial side, it sounds like you're ready to go with capacity, but it sounds like there's a lot of growth on both sides of the businesses and in other areas, obviously, things like Golden Dome and all that. Maybe you could just talk about how you view automation in the long term? And what could that get you maybe on a margin basis? And then just maybe overall ability to grow faster?
Max Mitchell: I'll take a stab and then if Alex has anything else. Look, we've always looked at enhancing productivity, easing the work by trying to error-proof and take out cycle time. What's manual, how can we automate? We have a lot of success with cobots across the organization on a localized level. I would be completely honest, Tony, I'm not sure what the technology is that you saw, what type of facility. There are certain technologies that just warrant themselves to complete automation from start to finish and that level of investment. There is no one Crane site that I can think of that would have that type of vision. It will continue to be -- while automation is clearly a direction that we will go down, it tends to be very spot-based and specific to very specific tasks that continue to take out variation, overburden on our associates. At some point in the future, do you link work centers to begin to get flow, cells that flow. The human element for us will always be important in the near future with the type of work that we do across the organization. So I see it as part of the broader strategy for us holistically as we drive productivity on a number of fronts. But that is not one that you would say Crane is going to go down a path of completely automated facilities.
Alejandro Alcala: Yes. Just to add to Max, like he said, very specific areas where work is difficult, to make it more reliable. So we have a lot of projects in that, not factory-wide automation. Then the second area where we're investing in automation is just where skilled labor is difficult to get, like welding. So we're trying to get more and more automated in various welding applications. So again, to summarize, more focused on specific tasks that are difficult to maintain and then trying to address skilled workforce gaps more so than fully automating a particular factory.
Operator: [Operator Instructions] We have a follow-up from Scott Deuschle with Deutsche Bank.
Scott Deuschle: I'm going to be beat up on Rich with a few follow-ups. First is the F-16 brake retrofit program still on track to hit that $30 million revenue target for 2026?
Richard Maue: Yes, it is.
Scott Deuschle: Okay. And then for 2025, there's essentially nothing in the base, right?
Richard Maue: Correct.
Scott Deuschle: Okay. And then Rich, is it fair to think that A&E organic growth accelerates next year, given what seems to be a story of acceleration across commercial OE, military OE and military aftermarket?
Richard Maue: I would say that when you think about how our external guidance over the long term has been 7% to 9%, I think it's safe to say we'll be at the high end of that range at this point, Scott.
Max Mitchell: Commercial OE continues to be a positive. I think what we're continuing to -- we're going to be meeting with our teams on -- from a plan standpoint is on the aftermarket discussion, right, which is -- it's been much stronger than we even anticipated coming into this year. Does that pace year-over-year on a comp basis continue? Or what does that mix look like? I think that is the unknown for us right now. Is that fair?
Richard Maue: Yes, I do think that's fair. I think our algorithm there still holds. But what elements would be OE versus aftermarket is going to be something that we'll be teasing out over the next couple of months. But as you're thinking about it, Scott, I would look at that long-term algorithm in the way I positioned it where we think we're going to fall.
Scott Deuschle: Okay. And then just one last one to corporate costs. Is this level -- this $85 million number, is this a level you think you can hold for next year? Or is that going to want to grow next year with PSI coming in and things like that?
Richard Maue: Yes. No, we don't see it growing next year, to be frank with you. You look at what our rate is today, it's like, I don't know, 3.8%. I would expect that to go down and we're going to leverage the growth, and you'll see it closer to 3% next year, all up, all in.
Operator: And this concludes the Q&A portion of today's call. I would now like to turn the call over to Max Mitchell for closing remarks.
Max Mitchell: Thank you all for joining us today. We often talk about the Crane Business System that is our foundational and holistic operating system. Many companies claim to have some form of an operating system, and I often get the question from investors as to what makes ours unique. We believe it is the intensity of the culture, people and processes and how we apply the principles to our processes down to the smallest details, which makes the Crane Business System unique. Results are celebrated, but never good enough. And every detail is important to us moving forward. As the late great Giorgio Armani said, to create something exceptional, your mindset must be relentlessly focused on the smallest detail. At Crane, our teams are relentless with the details, building a stronger and more exceptional Crane. Thank you all for your interest in Crane and your time and attention this morning. Have a great day.
Operator: Thank you. This concludes today's Crane Company Third Quarter 2025 Earnings Conference Call. Please disconnect your line at this time, and have a wonderful day.